Operator: Good afternoon, ladies and gentlemen, and welcome to the Red Robin Gourmet Burgers, Incorporated Fourth Quarter 2016 Earnings Call. Today's conference is being recorded. During the course of this conference call, the company may make forward-looking statements about the company's business outlook and expectations. These forward-looking statements and all other statements that are not historical facts, reflect the company's beliefs and predictions as of today and, therefore, are subject to risks and uncertainties, as described in the Safe Harbor discussion found in the company's SEC filings. During the call, the company will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles, but are intended to illustrate an alternative measure of the company's operating performance that maybe useful. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in the company's earnings release available on its website. The company has posted its fiscal fourth quarter and full year 2016 press release and supplemental financial information related to the results on its website at www.redrobin.com in the Investors' section. And now, I'd like to turn the call over to Ms. Denny Marie Post of Red Robin. Please go ahead, Ms. Post.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Thank you, Diana. Good afternoon, everyone, and thank you for choosing to be on the call today. I'm joined by Guy Constant, Chief Financial Officer, who hit the ground running just after the New Year. Guy and I will briefly share our perspective on 2016, and spend the majority of our time today on our outlook for 2017. After we finish our prepared remarks, Carin Stutz, Chief Operating Officer; and Terry Harryman, who, with Guy's arrival, has been named VP Finance, Planning and Investor Relations, will join for Q&A. As we shared on our January 10 in our Q4 pre-release, while revenue fell short of plan, we were able to regain traffic momentum. Specifically, we outperformed our peer set as defined by Black Box by over 200 basis points in Q4, which was a complete turnaround from our performance the year prior, and double our outperformance in Q3, 2016. We credit this improvement to a combination of improved operations and added news in our $6.99 everyday value Tavern Double line. As a reminder, during Q4, we also made some difficult, but much needed decisions to close a number of underperforming restaurants to consolidate services for our 18 units in Canada into the United States, by closing the office in Vancouver, to cut planned restaurant openings in half for 2017 and 2018, to reduce above-restaurant overhead with streamlined leadership and to rationalize our in-restaurant technology partners. The service improvements and value news that fueled our traffic outperformance at the end of last year will continue to be our focus coming into 2017. Our operations team under Carin's highly experienced leadership have already made significant strides in the past six months, and our guests are taking notice. The operators have turned up the volume on what matters most to those guests, speed-to-table and attentive service, earning their highest net promoters scores yet, as they entered 2017. We've recently celebrated this accomplishment at our annual All GM Leadership Conference and the pride was palpable. This operations team is primed to continue to improve in the coming year. Carin is also focused on optimizing our labor investment. At a time of tremendous demand volatility, nimble scheduling can make a world of difference. Our productivity has always been superior. And I'm confident our team will continue to find ways to fine-tune that model in the coming months. We further believe we are best positioned to maximize our opportunity on dine-in by adding reasons to visit with product news across our barbell of burgers. Our latest addition to the menu, which is actually in Sneak Peak this week is a Finest chorizo salmon burger made with pan-seared and lightly blackened 6-ounce salmon fillet, topped with roasted red pepper harissa aioli, crisp tempura lemon wheels, citrus-marinated tomato and onion with fresh arugula on a toasted telera bun. I don't about you, but I'm hungry now. And it is served of course with Bottomless Steak Fries. We've also added a limited time spicy Sriracha Shrimp appetizer. Our draft beer mix, supported by the recently completed rollout of 12 tests to each of our corporate locations, along with improved in-restaurant merchandising, continues to grow. While Black Box shows the casual dining category down year-over-year in low-single digits on alcohol mix, we have held our progress at 8%. We believe there is still growth for Red Robin in diving beverage mix, primarily in beers and non-alcoholic specialty beverages. While we continue to emphasize what has driven our traffic outperformance of late, value, service and menu news, 2017 will also be a year of change for Red Robin. We want to continue to be a great choice for guests of all ages to dine in and enjoy a delicious burger and bottomless fries. Yet our target guest is increasingly choosing to enjoy that same food at home or at the office. Convenience is being redefined. State of demand, amongst our target for carry-out at the unplanned dinner occasion, where we have traditionally done very well, has doubled in five years, and experience with suggested is only picking up momentum. The same guest who often went out for a movie or shopping is now a frequently choosing to stay at home to binge-watch Netflix and shop online. They still don't want to cook all the time, so the option to carry out the foods they love most or to have those same food delivered is taking on new importance. Our carry-out mix is still half or less of the category. It's time for us to take our fair share. What gives us confidence that we can accomplish this? Well, Red Robin is the Burger Authority, and burgers are second only to pizza in menu categories searched online. Guests who carry out our food rated as highly for that occasion as guests who choose to dine in. And finally, we are putting the key enablers in place. We are rolling out online ordering to all corporate locations by the end of this week. We expect to extend call center support, a tranche at a time, likely reaching all of our restaurants over the next six months; and are testing mobile pay solutions to support curbside carry-out. We expect to implement curbside carry-out at most of our locations later this year. On the delivery front, we have chosen initially to partner with DoorDash and Amazon Prime Now based on strong pilots. Our end goal is to drive greater frequency amongst loyal customers and increase our reach to those third-party delivery users, who had not considered Red Robin convenient in the past. We may have fewer physical locations in our peer group, but we are all the same size online. Just as this is the age of the specialty retailer winning out of the department store, we believe our burger focused specialization beats bar and grill generalization every day. In order to maximize four-wall unit growth, we know we must separate from the casual dining pack on in-restaurant service and experience, while also building our off-premise business. We are focused on driving differentiation on the service elements that matter most to our guests, no matter whether they dine in or carry out; craveable, customizable burger served with better for being here attentiveness and speed, all at reasonable prices for generous portions of food. We've earned our creditability on value through 10-plus years of offering bottomless fries. Differentiation is how we will win. Our strategies to drive performance are four-fold. First, drive team member engagement because engaged team members will deliver the discretionary effort needed to navigate the change ahead. Our most recent Team Member Voice survey showed significant progress, which is a credit to all the leaders in our organization who have focused on creating a great climate in which to work. Second, we focused our strategies on regaining our operational edge. We were once the envy of other casual diners for speed and attentive service. Carin and her entire team are determined to regain that edge. Service times and food temperature have improved significantly already with KDS and team focus. Third, established Red Robin as the go-to for burgers, whether the guest enjoys to enjoy them in the restaurant, at home or at the office. The differentiation I spoke of earlier will be our focus, adding variety only as needed to round out appeal. Our new Let's Burger television campaign, which features the new Smoky Jack Tavern at $6.99 is back on air this week, after relying solely on digital promotion since its launch and aired for just two weeks in November. Beginning next week, the ad will sport the web address for online ordering. Fourth, invest our capital wisely as we earn our right to grow, first, by improving our four-wall economics, and driving better returns on new units. Our focus on improving returns will guide all of our investment decisions going forward. This series of four straightforward strategies will inform our choices for the foreseeable future. We look forward to sharing more details about our multi-year vision and the results of testing and rollout on the off-premise business at an Analyst Meeting here in Denver, May 22 and May 23. As for the year ahead, the first half will be more challenging. We are currently rolling out with the (9:49) Double Tavern, Double Plus Bundle deal from last year, which drove sales, but lacked the needed traffic incrementality to justify the deep discounts. PPA will remain modestly lower through summer as we continue to promote $6.99 every day value news to drive dine-in traffic. The online ordering option we are adding this week is a key enabler, but it is not in and of itself a major driver of new revenue. As we are able to expand call center support and judiciously add third-party delivery sites with the best partners, we will gain traction. Early testing shows, as others have reported, that off-premise orders ring in at a higher total check and are highly incremental. Our opportunities for off-premise to become a growth engine in the back half of the year by reaching more guests more often and ensuring that they are as delighted with the off-premise experience as they are by our in-restaurant service, all while continuing to drive improved profitability. Category trends particularly in casual dining remain negative. Competitors continue to swing for the fences with deep deals, and we will always be (10:55) media, there is no news there. We will make our own headlines by focusing on what we can control, testing and refining with deep guest insight, differentiating our service on what the guest gives us credit for, implementing with excellence and cutting cost on non-value-added activities, so we can invest where it matters most. We have a great team. And while 2017 will be a challenging year of battling for share and evolving our business, we are confident it will set us up to be a consistent top performer for the long haul. With that, I'll turn it to Guy for the details of Q4 and guidance, or perhaps Guydance, as we should call it, for 2017.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: All right. Thank you, Denny, and good afternoon, everyone. Before I begin, let me first take a moment to acknowledge the excellent work done by Terry over the past few quarters in his role as the Interim Chief Financial Officer for Red Robin. Terry's professionalism and attention to detail served the shareholders, the analyst community and our management team well over that time, and we appreciate his efforts. Given the high standards set by both Terry and Stuart before him, I indeed have a high bar to try and clear. As I walk through the highlights of the financial results for the fourth quarter, please note that the numbers I present are on a recurring basis, excluding special items. As Denny mentioned, the restaurant industry is going through a period of substantive change, and so is Red Robin. Given that change, we believe that we need to provide you with greater transparency in order to provide insight into how our business is performing and how we are adapting to that change. As a result, we're providing a little more of that detail in our remarks today as well as in our future filings and presentations. We see this as an area of continuous improvement on our part and hope you'll find it helpful as you learn about and evaluate the Red Robin business. Adjusted EBITDA for the quarter was $30.2 million, down 13.8% or $4.8 million as compared to a year ago. Adjusted earnings per diluted share were $0.35 as compared to $0.86 in the fourth quarter of 2015. Consistent with the results shared within our pre-release on January 10, total company revenues increased 1.8% to $291.5 million, up from $286.3 million a year ago. This included an increase of $19.6 million related to new restaurant openings and acquired restaurants, offset by a decrease in comparable restaurant sales of 4.3%. Franchise and other revenue decreased $600,000 driven by a lower number of franchise locations as compared to a year ago. The decline in comparable restaurant sales was comprised of a 2.9% decrease in guest counts, and a 1.4% decline in average guest check. Overall price, when taking into account the impact of discounting, rose 0.3% in the quarter. And mix, primarily driven by the emphasis on value in our menu and messaging, declined 1.7%. Overall restaurant capacity, as measured by operating weeks, was up a little more than 6% in Q4 as compared to the fourth quarter of 2015. Fourth quarter restaurant level operating margins were 19%, down 290 basis points versus a year ago, driven by the following factors. Cost of sales improved 90 basis points to 22.8%, driven primarily by deflation in ground beef costs. Restaurant labor costs increased 190 basis points to 35.1%, driven mostly by minimum wage increases and sales deleverage. Other operating costs increased 160 basis points to 14.4%, due primarily to higher repair and maintenance costs, higher local restaurant marketing expense and sales deleverage. Occupancy costs were up 30 basis points due to sales deleverage. Depreciation and amortization increased 110 basis points to 7.6%, related to new restaurant openings and the remodels associated with the Brand Transformation Initiative. General and administrative expense improved 40 basis points to 7%, driven in part by lower incentive compensation expense. Selling expenses increased 30 basis points to 3.1%, while pre-opening expenses were down 50 basis points due to the timing of restaurant openings. The fourth quarter featured special charges totaling $21.7 million. These charges included $20.4 million associated with the impairment of underperforming Red Robin locations, and the impairment and closure of Burger Works locations. We also recorded $1.3 million in severance charges, related to a reorganization in both the U.S. and Canada. In the fourth quarter, we incurred a tax benefit as a result of a decrease in earnings before tax and an increase in FICA tip credits. During the fourth quarter, we opened five Red Robin locations, bringing the total to 26 new locations in 2016. We also brought the total number of brand transformation remodels in 2016 to 84, leaving only a small number of remodels to be completed in 2017. Now, the balance sheet. We invested $27 million in CapEx in the fourth quarter, primarily related to new restaurant openings, restaurant maintenance capital, remodels, and investment in technology projects. This brought our 2016 CapEx spend to $188.5 million. In the quarter, the company repurchased approximately 316,000 shares for a total of $14.6 million, bringing the total for 2016 to approximately 940,000 shares for $46.1 million. We ended the quarter with $11.7 million in cash and cash equivalents, down $11 million as compared to a year ago, and we finished the year with a lease adjusted leverage ratio of 4.35 times. As we move into 2017, I wanted to share with you our expectations for the coming year. First, let me point out that Red Robin's 2017 fiscal year will include 53 weeks, and will end on December 31, 2017. The company expects 2017 revenues to grow between 6% and 8%, driven by comparable restaurant sales between 0.5% and 1.5%, increased restaurant capacity as measured by operating weeks of approximately 4%, and the benefit of the 53rd week. We estimate the fourth quarter benefit of the 53rd week will be approximately $22 million in revenues, $3 million in EBITDA and $0.10 in EPS. Cost of sales is projected to improve by 25 basis points to 75 basis points versus a year ago, benefiting from pricing and menu optimization work, but offset somewhat by a slightly inflationary commodity environment. As of the end of 2016, approximately 60% of our 2017 food cost spend was contracted. Restaurant labor costs are projected to increase 25 basis points to 75 basis points, driven by ongoing minimum wage increases in more highly penetrated markets, higher benefit costs and restaurant manager bonuses planned at target levels. This will be offset somewhat by the effect of pricing and improvements in labor productivity. Other operating expenses are expected to be flat to slightly higher as a percent of revenues, as higher utility costs will be mostly offset by lower repair and maintenance costs. Depreciation expense is projected to be slightly less than $95 million in 2017, and the company projects its tax rate for 2017 to be between 20% and 22%. General and administrative expense is projected to be slightly higher than $100 million as incentive compensation planned at target is partially offset by the effect of the restructuring activity that took place in the second half of last year. Selling expense is also expected to be flat as a percent of revenues. Pre-opening expense is projected to be approximately $6 million, down from $8 million a year ago, due to fewer new restaurant openings. Historically, we have reported EBITDA, excluding the impact of non-cash stock compensation. Going forward, we will include that impact. 2017 EBITDA is projected to be between $145 million and $150 million, and earnings per diluted share is projected to range from $2.70 to $3. This represents growth of down 3% to up 8% versus adjusted EPS of a year ago. As Denny mentioned, with the lapping of our value emphasis not coming until the third quarter, the benefits of on-demand not fully in place until the fourth quarter and the addition of the 53rd week, we would expect about 60% of 2017 EPS to come in the back half of the year. We expect Q1 EPS will be between $0.40 and $0.60. Overall CapEx is projected to be between $85 million and $95 million. And as previously stated, we expect to open 17 new Red Robin restaurants in 2017. After closures, the net new restaurant growth in 2017 will be eight restaurants. Softer Q4 sales than expected, combined with planned share repurchases, resulted in a lease adjusted leverage ratio at the end of Q4 that is too high. As a result, we expect that free cash flow after CapEx will be used to pay down debt in 2017 in order to lower our leverage ratio to a more sustainable and acceptable levels. The progress we will make on this front will, of course, be dependent on our performance against the expectations we've just outlined. As we reduce our leverage ratio, and as the company plans its investments going forward, be it a capital or operating investments, we will prioritize that spend based on the incremental returns on capital that these investments will create. Whether these priorities drive sales, improve margins, reduce expenses, generate EBITDA or distribute capital to shareholders, the overriding filter will be the expected return of that incremental capital or to improve return on capital already invested. Denny and the team have already started down this path with the announcement a quarter ago that we would pare back unit growth in 2017 and 2018. As Denny stated, we will not grow for growth sake, rather we will focus on growing our overall returns as this is what is most highly correlated to overall improvements in total shareholder return. We look forward to provide you more color on these priorities, when we get together in May for our Analyst Day in Denver. With that, I'll turn the call back to Denny for a few final comments, before we take your questions.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Thanks, Guy. It's great to have you on board. Moving forward, we're going where the guest wants us to be, focused on differentiating service both in restaurant and off premise. Our guests look to us for gourmet burgers served quickly and with that extra measure of care that makes them better for being here, without having to break the bank to fill up on great food. We have over 6.7 million loyal Red Robin Royalty members who are ready to learn about our new choices. And at our core, our B.U.R.G.E.R. values of Bottomless Fun, Unwavering Integrity, Relentless Focus on Improvement, Genuine Spirit of Service, Extraordinary People, and being the Recognized Burger Authority mean we have the makings of the best teams in our restaurants, field leadership and home office, while we will remain the one and only Red Robin and will move with the guest to ensure we meet their changing needs at every turn. Before we take questions as a team, we want to acknowledge someone who is sadly missing from the queue today. Here is to one of the best, Joe Buckley. We will miss that gravelly voice and unmistakable laugh in Q&A today. Operator, with that, let's turn it over to questions.
Operator: Thank you. And we'll take our first question from Will Slabaugh with Stephens.
Will Slabaugh - Stephens, Inc.: Yeah. Thank you very much. I wanted to ask on the guidance for the year, especially on the comp guidance of 0.5% to 1.5%, just sort of given where we ended 4Q, and the guide for that nicely positive comp for the year, I'm wondering, how steep we should expect that cadence to be throughout the year. And if your comments around 1Q are indicative of what you're seeing out there to start the year off, it would be appreciated. Thank you.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Hey, Will, good to hear from you. So, given that, as you may recall, we expanded the emphasis on value in the third quarter last year. So we're still faced with at least in the front half of the year lapping the impact that's had on PPA. So we would expect on balance the challenges in comp sales related to that to be more in the front half than the second half. In addition, the discussion we had about rolling out some of the on-premise initiatives that we have are certainty more skewed towards the back half of the year versus the front half of the year as well. So those two factors are certainly contributing. As for the other things that are impacting the front half of the year, I think it's no secret that January results for the industry have taken a bit of a turn to the positive from what we saw late in the fourth quarter, but February has certainly been challenging for the industry, in part contributed by the fact that the lateness of the income tax refund has certainly had a contributing impact to that as well. So with all of that, yes, we would expect the comp sales benefit to be more back half than front half.
Will Slabaugh - Stephens, Inc.: Understood, if I could follow up real quickly on the 1Q guide, so you talked about the $0.40 to $0.60 number, I'm curious how much of that is top line driven and if there are any costs that we should be aware of that might be out of the ordinary in that first quarter.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Nothing out of the ordinary, but as we mentioned earlier, an extension of things we'd seen in the fourth quarter and continuing wage inflation pressure that we've seen as well that will impact the fourth quarter. So, I'd say a blend of both top line and middle of the P&L impact.
Will Slabaugh - Stephens, Inc.: Okay. Thank you very much.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Yes.
Operator: And we'll take our next question from Gregory Francfort with Bank of America.
Gregory Paul Francfort - Bank of America: Hey, guys. I know you're going to get into a bunch of the details in May, but maybe can you talk sort of early high level, what are the biggest piece of opportunity that you have outside of addressing value from an operating standpoint? Are there technology changes that have to be made or is sort of server changes or server structure changes, labor changes? I guess what are the biggest opportunities on improving the four-wall margin and the four-wall returns?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: I will start with the top line opportunity. Obviously, we've referenced it here, Gregory, the biggest opportunity for us is to get into off-premise. And we're putting all those enablers in place to get going on that and piloting a number of initiatives. So we'll see a lot of that come together. In terms of the four-wall margins, Guy, you want to speak a little bit to what you think there?
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Yeah. Greg, at a high level, and you're right, we will provide a lot more of this detail in May. Denny already made the reference in her comments about the fact that our off-premise average mix is much lower than the rest of the space. Our overall EBITDA margins are a couple of hundred basis points lower than the space. So we do think there are opportunities in the middle of the P&L, enabled in part by the introduction of KDS. It should help us do a better job managing waste, and being more efficient with our labor, but we do think there are other potential opportunities to address there as well. We've talked about how our company/franchise mix is probably skewed a little more to company than on an average to the spaces. So we think that presents an opportunity. And then, of course, just overall, improving our returns which really encompasses all those things we just talked about represents the opportunity as well. So we think, on a number of fronts, there is an opportunity for us to make progress from where we are today.
Gregory Paul Francfort - Bank of America: Got it. And then, just maybe on the carry-out business, is that being driven by a change in diner behavior? There is a lot of the brands are talking about the carry-out business now, and it seems to be sort of picking up steam. Is consumer behavior changing? Is it that you're sort of able to get that technology to work on the online ordering side and you weren't able to do before, I guess what sort of inflection are you seeing in maybe the overall industry as well?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Yeah. Gregory, this is Denny, and then also Carin might have an added point on the four-wall margins. But in terms of the inflection point we've seen, and again, we did an occasion study five years ago, we updated it just last year. And the unplanned dinner occasion which is that you don't know where you're going tonight, what's convenient. We always did really well at that occasion. And as I said in my remarks, we've seen a doubling in demand for carry-out at that time period now. So, instead of loading the family up and coming out for a quick meal, increasingly the convenience is being defined as bringing it into the house, and just keeping everybody in place and continuing to do what they're doing. So, we're definitely seeing growing demand. And then certainly, the technologies, the availability of third-party delivery, a lot of things are really rising up to support it, and to give the guest a lot of option. So, it's a time of real change here. And I think we have a great opportunity, even though we're late to the party in terms of carry-out to do it very, very well. So, that's what we're committed to doing. Carin, did you want to add a point at all on the prior question that Gregory had?
Carin L. Stutz - Red Robin Gourmet Burgers, Inc.: Yeah. I just wanted to say, in addition to us really focusing on, as Denny put it, where the guest is going and off-premise, we're still very focused on high level of execution within the four walls, and we still think we have opportunity to make a big improvement there. Denny referenced our NPS scores, which have been going up in a nice trajectory, and we hope that's a leading indicator for what's to come. So, assuming demand, we think that the guests coming in today are going to have a better experience, and I could just evidence that by KDS. One of the things that we talked about in the past, our acceptable level of service was around 16 minutes. Today, we set a new goal at our Annual Conference that our expectation is that a shift will run at 10 minutes or less on average and we're seeing a lot of that already. So, the addition of KDS and the returns that we're going to get from that, wonderful piece of technology is starting to make a difference.
Gregory Paul Francfort - Bank of America: Great. Thank you, guys.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: You're welcome, Greg.
Operator: And we'll take our next question from Alex Slagle with Jefferies.
Alexander Russell Slagle - Jefferies LLC: Thanks. I had a follow-up question from Will's same-store sales guidance question earlier. I want to know what sort of casual dining industry traffic assumptions you have for 2017, and just to get an idea are you going to continue to plan to take share of traffic in the category and what kind of traffic growth needed to hit that target.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Yeah. I mean we're definitely planning to continue to take share and outperform in terms of traffic. We are anticipating the category to continue to be down. We've estimated – what, down 2%? Down 2% across the year for the category, which some would argue might be conservative or not conservative.
Alexander Russell Slagle - Jefferies LLC: Okay. And then, on the alcoholic beverage sales and your efforts to further accelerate that business, I mean what can you do to really build excitement and awareness about this? And what should we look for as we look out into 2017?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Well, I'd like to think of it as – and we spoke about this in our Leadership Conference as well, thinking of it as every burger deservers a great beverage, right? So, every burger is made better with the perfect beer carrying or perhaps even a non-alcoholic beverage. So we're very much focused on ensuring that the dine-in guest is being encouraged to enjoy, be at one of our 12 now draft beers or one of our specialty beverages of any kind with that burger. So, we think we can continue to build. It's slow. I mean we were down to, what, low 5s, four or five years ago, when we've rebuilt to about 8% mix on our alcoholic beverage mix. And we're holding where the rest of the category is going down, as off-premise builds, that's going to challenge total mix. So we're very focused on occasions and making sure that as you walk through the restaurant, every burger has got a beverage sit next to it. The only thing it makes me unhappy is a glass of water.
Alexander Russell Slagle - Jefferies LLC: Got it. Thank you.
Operator: And we'll take our next question from John Glass with Morgan Stanley.
Christopher E. Carril - Morgan Stanley & Co. LLC: Hi. This is Chris on for John. I was hoping to get a little bit more color on the discounting and casual dining right now. I think you touched upon it briefly in the prepared remarks, but if there is anything else you can tell us about that. And at what point you think that starts to turn? Is it going to be commodity driven or is it going to, I mean, really just be a function of traffic improving? Anything on that would be helpful.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: I don't know that we've specifically seen – I mean, we see a lot of deals. And, of course, again lot of people are using e-mail clubs to deliver deals daily of all kinds. And I'm increasingly now starting to see them associated with off-premise. 20% off, if you come in and pick up a carry-out meal for the weekend, that kind of thing, it's pretty aggressive. We continue to stay focused on what we've engineered over time to be the best balance of a barbell of burgers, everything from $6.99 to our latest item which is $14.79. So we have a wide range for the guest, and it's great quality and a great quantity of food every single time. And then we reserved our dealing for the most part to surprise and delight for our Red Robin Royalty guests. Now, as we're starting to build our reach, we're using some traditional methods like direct mail and we'll certainly work with some of the third-party delivery services to incent our guests to give us a try. But I don't know in terms of what do you think is going to change it. I think there is always going to be people swing in for traffic, and I don't see any letup in the near future.
Christopher E. Carril - Morgan Stanley & Co. LLC: Thanks.
Operator: We'll go next to Brian Vaccaro with Raymond James.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Thank you, and good evening. Denny, I was wondering if you could share more about what you've seen in the delivery test with DoorDash and color on the sales lift, and profitability to those sales, and as the test has been expanded from I think the original 70 units (34:19) in the original test.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: We have expanded with DoorDash, Brian. I'd like to get more time under our belt with the various delivery services to talk to. But I'll tell you overall, the size of the order is larger than what we see in restaurants, so we're definitely seeing that. And that's consistent with what others have experienced. We are partnered with DoorDash now, and in limited partnership with Amazon Prime Now, total locations, unduplicated about 83 or 84.
Carin L. Stutz - Red Robin Gourmet Burgers, Inc.: Correct.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: So still a relatively small percentage of our system. But I'm encouraged, and our – we are waiting now for some research. They share with us the results from what their guest tells them, so we are relatively benchmarked to other products that are delivered. But we're doing our own research to try to get some sense to make sure the guest is positive about that experience before we move forward aggressively. But, yeah, I'm not sure what else to say other than, as we get closer to this, and we have seen pretty high incrementality as well or we would not have chosen to go forward, particularly obviously with the Amazon Prime offering, where they have such a large user base to market to. It's made a big difference for us.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. Great. That's helpful. I wanted to also circle back on the key ops and potential cost savings initiatives in 2017. I noticed the guidance referenced, I think it was menu optimization and labor productivity. Can you provide some more color on each of those?
Carin L. Stutz - Red Robin Gourmet Burgers, Inc.: This is Carin. We're going to comment more on that in our May meeting that's coming up. Our teams have several things they just started testing right now. And we'll be excited to share what we think works best at that time.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: (36:06)
Brian M. Vaccaro - Raymond James & Associates, Inc.: All right.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: I think the menu optimization piece, the teams are working really well together to make sure we're setting up the restaurants for max productivity.
Carin L. Stutz - Red Robin Gourmet Burgers, Inc.: Yeah. We've really been talking about simplification, and I think that's really important right now. So, we're teamed up with Jonathan Muhtar's team. And we're really looking at everything from the number of ingredients to number of items that we prepare. And I think that's been really helpful. But another thing we look at, as the guests tell us that speed is still important in a casual dining experience, is how long each menu item takes to prepare. So that's now another filter, when Jonathan introduces a new item, is that we can get it to the guest in a time that they think is really important and meets their needs.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. Two quick ones, just on the guidance if I could. Guy, in terms of the labor cost outlook, what are you expecting in terms of wage inflation and benefit cost inflation in 2017?
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Somewhere between 5% and 6%, Brian.
Brian M. Vaccaro - Raymond James & Associates, Inc.: On the wage front or sort of a blend between the two?
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Blend between the two.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. Great. And then, last one, the CapEx budget, could you provide the primary component to that in terms of new units, maintenance, and other investments that are embedded in your CapEx guidance?
Terry D. Harryman - Red Robin Gourmet Burgers, Inc.: Hey, Brian. This is Terry. Yes, our relo and remodel budget would be in the range of $15 million to $20 million, maintenance CapEx in the range of $20 million, projects in the neighborhood of $10 million, and our NROs should be in the range of $40 million to $45 million.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Great. Thank you.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Thanks, Brian.
Operator: We'll go next to Howard Penney with Hedgeye Risk Management.
Howard W. Penney - Hedgeye Risk Management: Thank you for the question. I had two questions. The first one is focused on the structural changes you made to the store closures, and how sharp your knife was, and will there be more of those? And then, if you could put that in context with what you think the optimum balance is of franchise and company-owned stores. And then, the second question relates to your real estate profile. I remember in years back, and I may not remember this correctly, but there was a site selection strategy associated with opening stores next to movie theaters or malls or something along those lines. If that's correct, would that prevent you from getting to an average take-out/delivery order or would it actually allow you to go further than what an average casual dining chain does?
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: Hey, Howard. Good to talk to you. Let me take the second question first, and then I will kick it to Guy to speak about the closures. You're absolutely right, our traditional location strategy was near, what we call, the power center. It had about a 12 mile radius in terms of what we believe we attracted guests into. And that certainly did not set us up necessarily well to take full advantage of all the carry-out opportunities. That said, as the portfolio stands today, we have about 17% of our restaurants that are in line, those are the ones where we will be most challenged to develop any kind of curbside or guest carry-out. They're simply not going to come into the mall to do that. So we'll rely on those to develop other opportunities and other types of business, be it catering down the road or some other things, where we can go out from those locations and use perhaps third-party delivery, et cetera. But beyond that, the majority of our locations I think are well set up to support curbside carry-out, and we feel like are well positioned to help us going forward. So, it's not as heavily mall-dependent as you might have expected. And with that, we think we can still support a pretty strong carry-out business.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Howard, on your original question, hey, you're ahead of the game on us a little bit on that one. We're certainly looking hard in making assessments to the restaurant portfolio, what needs to be in the portfolio and what doesn't, what makes sense from a company franchise mix as we move forward. We have a really good franchisee base. And I think there is increasing interest in starting to build new units on their part and their markets which tend to be a little less penetrated than maybe some of our markets. And then, certainly, there are our own markets, where we are underpenetrated and as we look forward at potential development, assuming we get the four-wall economics right and earn our right to grow. But it's likely there will be markets that we won't get to for some time and that may make more sense for us down the road to be franchised as opposed to company owned. So, we're catching this kind of right in the middle of that analysis, but that would certainly be something we would want to address at the Analyst Day we would be having in May.
Howard W. Penney - Hedgeye Risk Management: Thank you. And just one last question, the $20 million in maintenance CapEx, is that an ongoing – is what you would expect your ongoing maintenance spending would be? Thanks.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Yes, Howard. Yes.
Howard W. Penney - Hedgeye Risk Management: Perfect. Thank you.
Guy J. Constant - Red Robin Gourmet Burgers, Inc.: Great. Thank you, Howard.
Operator: And at this time, I'd like to turn the call back to Ms. Post for any additional or closing remarks.
Denny Marie Post - Red Robin Gourmet Burgers, Inc.: All right. Thank you, all. Thanks to all the Red Robin team members, franchise and corporate, who deliver on our promise every day. And thank you all for joining us this afternoon. We look forward to speaking with you again on our Q2 call, and hosting you at our Analyst Meeting, May 22 and May 23 here in Denver. Everybody, have a great day.
Operator: Thank you. And that does conclude today's conference. Thank you for your participation. You may now disconnect.